Robin Watson: Good morning, everyone, and thank you for joining us today for our First Half Results Presentation. We hope you're all staying healthy during this difficult time and we do look forward to meeting you all in person as and when circumstances allow. As always our CFO, David Kemp, will take you through our financial performance shortly and I'll be bookending David's presentation, focused on three major themes running through our business: firstly, how we've responded to the needs of today with resilience; secondly, how well we are positioned in the right markets; and thirdly, how fit we are for the future leading the pack on ESG. So my three themes will then be resilience, positioning and the future-fit nature of our business. We're facing unprecedented challenges in this time of a global health pandemic that is really affecting people's lives and livelihoods across the world. Since the start of April over 40,000 of our people have been successfully working remotely, with many others continuing to work safely at customer sites supporting vital services. It's their effectiveness in delivering for clients that supports continued demand for our services. We've maintained a regular ongoing dialogue with our people throughout this challenging period and I'm really encouraged by the extensive positive feedback to our recent staff survey around our approach to people's health, well-being and support for flexible working. This informs our cautious approach to returning to the workplace. Resilience is a hallmark of any successful business, but absolutely fundamental in today's environment. And I'm very proud of how Wood has risen to the challenge so far: the personal resilience of our people, across the globe to keep delivering for our clients; financial resilience, providing a solid set of first half results, thanks to deliberate actions taken to control what we can control; and enduring resilience, as a result of a broader business that's well positioned for future growth, as the world recovers. The resilience we've built in the business is by design and it's allowing us to move forward with confidence in an uncertain period. Looking at how we're responding to the world in which we find ourselves today, benefit from the breadth of our end market exposure. We've seen relative resilience in around 65% of our end markets. We took early and decisive actions in response to the impact of COVID and oil price volatility and our ability to leverage our asset-light model has obviously been key. We've successfully protected margin and delivered first half EBITDA of $305 million. We also completed the actions required to deliver overhead savings of over $200 million in the year. We made excellent progress on portfolio optimization and completed the disposals of our industrial services and nuclear businesses. And the steps taken to predict cash flow and ensure balance sheet strength have helped delivered a reduction in net debt of over $200 million. Looking ahead, crucially we continue to win work in the first half, securing new orders and scope increases of over $3 billion and we are seeing encouraging early signs of market stabilizing. In our capital markets event last November, we set out our strategy and are repositioning across three differentiated service lines in two end markets. Throughout today's presentation we will demonstrate how the delivery of that strategy and our position across the right markets with the right service offering has underpinned the first half performance. Sustainable growth is delivered by embracing a culture, which retains talent, customer relationships and our shareholder confidence. Our objective is to be recognized as leaders in sustainability, underpinned by our membership of the UN Global Compact. In the first half of 2020, we extended our diversity and inclusion programs through the modern slavery and human trafficking statement, continued to uphold the universal declaration of human rights and strengthened our governance in Wood. We also announced our pledge to reduce greenhouse gas emissions by 40% by 2030. We're also very well placed to be responding to the energy transition. Decarbonization is one of the most important opportunities for our business and I'll walk you through some of our expertise in that later. I'm very proud that our differentiated performance is recognized by the leading ratings agencies. Sustainalytics rank us sixth out of 137, sixth of 137 in the energy services sector and ahead of E&C peers. And MSCI have awarded us a consistent AA rating over the past five years. Further detail about our sustainability performance can be found in our latest sustainability report, which is published later this month. I'll now hand over to David to discuss our detailed financial performance.
David Kemp: Thank you, Robin. As Robin noted, our first half results reflect relative resilience, together with our focus on reducing cost protecting margins and cash flow and ensuring balance sheet strength. Revenue of $4.1 billion benefited from our broad end market exposure, with 65% of activity derived from chemicals and downstream, renewables and other energy and the built environment. Oil price volatility impacted upstream oil and gas activity, which accounted for 35%of revenue. We delivered EBITDA of $305 million at the upper end guidance and ahead of consensus. Our ability to leverage our asset-light model together with our differentiated services has been key to protecting margins. We took early and decisive action on cost, maintaining operational utilization at high levels and reducing overheads in anticipation of lower activity. EBITDA margin was down only 0.5% on H1 2019. In the first half, we completed actions to deliver full year overhead savings of over $200 million with around $70 million recognized in the first half. This supports our confidence in delivering stronger second half margins and our objective of maintaining full year margins at the 2019 level of 8.6%. The savings include the synergies relating to the creation of TCS and previously announced margin improvement initiatives. Our actions took effect quickly and typically incurred a low cost. Actions included voluntary salary reductions of 10% from 1 of April until the end of the year for the Board, executive directors and senior leaders; temporary and regrettably permanent headcount reductions; and lower discretionary spend. Around half of the $200 million will endure beyond 2020, which supports our medium-term margin improvement strategy. Looking at performance on a like-for-like basis we delivered margin improvement in two of our three business units. In the Americas lower revenues reflected market conditions in upstream. Productivity was down as expected. And this was partially offset by continued strength in capital projects activity in chemicals and downstream where the YCI and GCGV projects continue to progress well. We also saw higher activity in both solar and wind. EBITDA margins reflect lower activity and cost overruns of around $30 million on legacy projects which we expect to complete in Q3 and this was partially offset by action on cost. In EAAA, we saw lower upstream work partly offset by robust activity on capital projects work in chemicals and downstream. EBITDA margins remained strong and were up in 2019 reflecting excellent execution and action on cost.  In TCS, lower revenue reflects progress on the TCO automation project and our reduced appetite for low-margin construction work. Built environment activity accounted for 55% of TCS and was pretty resilient. EBITDA margins were up significantly benefiting from good execution synergies from the creation of TCS in Q4 2019 and maintaining good operational utilization. It's helpful to bridge the H1 2019 to H1 2020 EBITDA. The earnings impact of lower volumes was partially mitigated by our focus on maintaining good operational utilization. There was no material impact from pricing. We further offset this with early impact of our overhead cost savings of $70 million. The EBITDA impact of businesses disposed principally the nuclear and industrial services businesses was $17 million. Despite the impact of overruns on legacy projects in Americas, we delivered EBITDA of $305 million representing a margin of 7.5% just 0.5% down on the first half of 2019.  Actions to preserve cash and maintain balance sheet strength are reflected in the first half cash performance. We delivered a reduction in net debt to $1.22 billion from $1.77 billion in June 2019 and $1.42 billion in December 2019. Cash generated pre-working capital of $135 million is stated after provisions of $75 million and this compares to provisions movement of $114 million, previously. As expected, we are seeing a lower impact from legacy items and we expect a significant reduction in the future. As previously guided, the working capital outflow was driven by the expected unwind of advanced payments, principally related to the large U.S. contract due to complete in H2. We saw an inflow from receivables and delivered an improvement in DSO days from 71 in the first half of 2019 to 62 days. Our reduction in payables reflected lower activity and the temporary benefit of government payment deferral schemes. Further details are included in the appendix. Cash generated pre-exceptionals was $68 million and cash exceptional costs of $62 million included restructuring and redundancy costs of $41 million. We made excellent progress with portfolio optimization and completed the disposals of both industrial services and nuclear in Q1. And as you know the Board withdrew its recommendation to pay the final 2019 dividend of $160 million. An asset-light cash-generative model continues to underpin the basis of our investment case. In the first half, we saw a drag on cash generation from the impact of provision movements on legacy items, exceptional levels of advanced payments unwind and costs incurred as we took action in response to COVID-19 and oil price volatility. Although EBITDA is at a depressed level in H1, our underlying operational cash flow excluding these legacy and temporary items remained strong. For 2020, we have provided guidance for cash outflows in respect of provisions, exceptional items and CapEx. We expect to benefit from a significant reduction in provision movements relating to projects, asbestos and disposed businesses, particularly as legacy AFW items close out and complete. Compared to previous expectations, exceptional items in 2020 will be higher as a result of cost to deliver overhead savings and this is heavily weighted to H1. The timing of any settlements on regulatory investigations is uncertain and could impact on the outlook on exceptionals CapEx includes ongoing costs on engineering software licenses. And we've pulled back the pace of the next phase of our ERP implementation, resulting in a lower-than-expected cash outflow for full year 2020. As you know risk to second half activity persist and the full year working capital movement will be dependent on activity and the general trading environment. We currently expect a further unwind of the balance of advances on EPC work in H2 to be more than offset by improved working capital performance. Our capital allocation policy is focused on maintaining a strong balance sheet. And we remain committed to achieving our target leverage of 1.5 times net debt-to-EBITDA on a pre-IFRS 16 basis. We have considerable levels of liquidity with undrawn facilities of over $1.6 billion with no near-term maturities. Given the levels of global economic uncertainty, the Board considered it prudent not to pay an interim dividend. The Board remains committed to reviewing the future policy once there is greater clarity on the impact of both COVID-19 and oil price volatility. Our success in diversifying our end market exposure is evident in the breadth of work secured in H1. We booked new orders of $3.3 billion in H1, of which $1.7 billion were booked since early March. And these illustrate the breadth of our business and include EPC work for GSK in Europe, onshore and solar EPC awards in the U.S., an EPCM scope in Iraq, upstream contract extensions in the U.K. and an LNG renewal in Asia Pacific. We also secured a five-year agreement with the U.S. Navy for engineering, design and maintenance of fuel installations. Order book was $7 billion, down 16% on June 2019 on a like-for-like basis with $3.1 billion due to be delivered in 2020. We continue to see lower levels of short-cycle work coming to market, although our order book gives us higher visibility than is typical at this point. In 2019, we had around 90% either delivered or secured at this point in the year. Whilst we're starting to see early indications of trading conditions stabilizing, the risk of downward scope variations deferrals and cancellation of secured work persist and we're prepared for a wide range of outcomes. Our focus on margin has been at the heart of our actions in the first half. As I outlined earlier, our objective in 2020 is to maintain EBITDA margins at the 2019 level of 8.6% and we're confident of delivering a stronger second half margin. At the Capital Markets Day, we set a specific medium-term goal for margin expansion. Delivering on this objective will involve being in the right markets, winning work at the right margin that reflects the value we add, delivering exceptional execution consistently and by being more efficient. The strategic goal remains very much in focus and our delivery in H1 supports this. We remain committed to delivering our medium-term EBITDA margin target of over 100 basis points improvement on 2019. Looking to the full year. We'll continue to benefit from the breadth of our activities and see relative strength across chemicals and downstream and built environment together with a significant increase in renewables activity. We're starting to see early signs of market stabilizing and a $3.1 billion due to be delivered in H2. In prior years, we've had circa 90% of revenue delivered or secured at this point. Our focus remains on controlling what we can control. We will maintain high operational utilization and benefit from the full year impact of over $200 million overhead reductions already completed. These actions and the completion of the legacy energy projects in Americas will deliver a stronger second half margin and our objective is to maintain EBITDA margin at the 2019 level of 8.6%. The benefit of our focus on working capital management together with lower outflows on non-trading-related items and the decision taken on the interim dividend to protect the balance sheet will lead to a further reduction in net debt in the second half. In summary, first half results reflect the benefit of our broad end market exposure and our early and decisive action on cost in response to tough market conditions. We delivered EBITDA at the upper end of guidance and successfully protected margins and we delivered a significant reduction in net debt. Looking at the full year, we are focused on maintaining our aim of maintaining margins at the 2019 level and delivering strong cash flow to reduce net debt further in the second half. I will now hand over to Robin.
Robin Watson: Thank you, David. As you've heard today, aspects of our investment case have been key to navigating the unique and unparalleled challenges facing the engineering and consultancy market. The breadth of our market exposure has been crucial. If I look back even as recently as 2014, around 90% of our business was related to upstream oil and gas compared to 35% today. We also have a balance of CapEx and OpEx activity in the circa 40-60 ratio and this really demonstrates the progress we've made to diversify our business. David's outlined how our flexible asset-light model has been crucial to managing overhead costs and utilization and our ability to maintain agile and position for success. We have an unrivaled track record of controlling what we can control to protect margin in response to changing and challenging market conditions. The early and decisive actions we have taken are a strong example of that. The mixed quality and distribution of our clients is also important to us. We've had a high degree of loyalty within our broad blue chip client base and around 90% of what we do is repeat business. These strong relationships mean that our client interactions are focused on partnering rather than purely transactional. They also position us well to unlock the significant opportunities in helping our clients achieve their own ambitions in the energy transition and achieving more sustainable infrastructure. As the world recovers from the downturn, we will need engineers to create the right solutions to the world's most critical challenges, not least across energy in the built environment. When it comes to energy transition, we're not simply positioning or building capability like some of our competitors we're already delivering and earning significant revenue today. This snapshot of what we've delivered to date illustrates the point very clearly with over 650 projects in wind 100-plus of which were offshore; 200-plus solar projects over the last 13 years; 30 years of experience in carbon capture and storage including establishing the best practice model for the U.K. through our engineering work for the OGCI on their flagship carbon capture and storage transport project; and leading-edge solutions in both blue and green hydrogen pioneering modular hydrogen units and designing and delivering over 120 units to date. There's a lot of excitement around hydrogen and carbon capture. And to reiterate, they're not just a big part of the future, they're actually part of our past. Our technology and our track record of delivering projects at an industrial and commercial scale unequivocally differentiates us. Our playbook is unrivaled. I'm also very encouraged by the momentum we're seeing in renewables, which really helps to cement our position in the wider energy services market. I'll now share with you just a few examples of the great work we're doing. As discussed, our renewable business is both diverse and growing. In wind, we've supported over 600 projects totaling 120 gigawatts. To put that in context, that's 20% of the total installed global wind capacity. In 2020, higher activity in solar and wind work will double the size of our renewable revenue stream in the Americas. Our solar business alone will deliver $500 million worth of revenue in 2020. In hydrogen, we're actively advising several clients on innovative solutions and recently completed work on our world's first project with SGN to use green hydrogen in home. Of course, energy transition will also create opportunities that expand beyond our renewables business. It's also about helping our traditional clients get ready for the future. Well the relative proportion of what we do in the oil and gas sector will reduce over time, oil and gas will remain an important part of our energy mix and we'll remain committed to that sector. Our focus is on engineering solutions for a net zero world and enhancing the way we partner with clients. Decarbonization is one of the most important opportunities for our business and the breadth of capabilities ideally position us as a partner of choice for oil and gas and industrial clients looking to achieve their own net zero goals. We're already delivering some great projects with Equinor. We're integrating offshore wind to electrify the Snorre and Gullfaks platforms with Ithaca. We're introducing an industry-first solution to make decommissioning of the offshore Jacky platform carbon neutral. Some of the biggest decarbonization opportunities will come and retrofit an existing industrial clusters, I've talked about the work with the OGCI Humber Zero, the U.K.'s largest and most ambitious project in terms of the volume of CO2 emissions avoided and it's another fantastic example of energy transition in action. We're delivering concept and early design to integrate carbon capture technology with industrial sites treating up to eight million tonnes of CO2 per annum and then storing it under the North Sea. We're applying a range of technologies renewable power to generate green hydrogen through electrolysis and blue hydrogen generation with integrated carbon capture. With our trusted clients, we're also moving to more collaborative strategic partnerships and innovative commercial models that offer greater reward for delivery. This is a big shift in the sector that is part of what we mean when we talk about building a premium differentiated business. A good example is a work with BP where we co-identified over 200 opportunities to improve the way we execute work both onshore and offshore. Since then a dedicated team has been developing solutions aimed at increasing efficiency, productivity and reducing costs. The success of this project in the U.K. has led to a more extensive rollout of similar projects globally by BP. We also continue to grow in sustainable infrastructure development, including in the planning design, build and operation of connected and resilient infrastructure across the world. In transportation, we support Metrolinx in Toronto's transit system expansion and upgrade program. This will improve mobility for the people who live and work in the city and in the wider Ontario region. Our flood risk management solutions are helping improve the resilience of existing infrastructure in coastal areas across the U.S., the U.K. and the British Virgin Islands. We're future proofing utilities by delivering innovative digital solutions to clients like Northumbrian Water to help optimize their water and wastewater infrastructure and improve reliability of water supply. We also have world leading capability in creating cleaner environments through remediation and other technical solutions. As a momentum to a cleaner planet continues to gather pace, we see even greater opportunity in the high-margin consultancy work in this field. This work largely undertaken by the TCS business remains a core focus of our efforts in 2020 and beyond. I'm really encouraged by the breadth of our portfolio and it positions us well for growth in the medium to longer term. The outlook for renewables and other energy is positive. CapEx budgets will be less affected by the impacts of COVID as clients seek to deliver their lower carbon strategies. Pockets of growth in solar and wind in the U.S. that are driving and doubling the renewable revenue in 2020 are expected to continue. Longer term, we expect investment of new technology and government initiatives to support demand. Uncertainty over global growth and demand is pushing some investment decisions in chemicals and downstream to the right. In the near-term, we expect increased capital projects activity in Asset Solutions, EAAA but reduced activity in the Americas as existing projects such as YCI progress to completion. The combination of oil price volatility and impact of COVID has translated into significant cuts in upstream CapEx budgets and continued constraints on midstream investment. As a result, we expect upstream activity to continue to be subdued with projects being initiated to smaller scopes and concept pre-FEED work. The longer term outlook will be dependent on the rate at, which global demand recovers. Relative resilience in the built environment in the first half is expected to continue. While there is some risk in the near-term that government contract deferrals our opportunity pipeline is robust. And looking further ahead, we're well-positioned for growth opportunities from fiscal stimulus packages if approved, as well as opportunities from public and private sector bodies seeking to achieve their own sustainability goals. In summary, whilst the uncertainty around the impact of COVID and oil price volatility continue to feature in the near-term, the breadth of our end market exposure is expected to continue to deliver relative resilience in two-thirds of our business. Longer term we see good growth prospects as the energy transition continues to gather pace and the world seek solutions to more sustainable infrastructure and a more sustainable future. We've remained very agile and active and managed the shape of our business. We feel that through this journey, the platform which delivers today and positions us well for the future has been great. We're well-placed to grow as markets recover and benefit from opportunities to engineer solutions to achieve lower carbon energy systems and sustainable infrastructure. The chart on the far right gives an indication of the shape of our business in terms of markets and services we are establishing over the period to 2023. This is a business with a highly differentiated consultancy and project management capability combined with an enduring operational platform. This is a business that will serve the key energy and built environment markets whose growth is very much aligned to climate change imperatives. As energy transition gathers pace, we expect to increase the proportion of revenue derived from renewables, alternative energies and the built environment through the strategic cycle and to reduce the relative proportion of revenue derived from traditional upstream oil and gas markets. So, in conclusion, we've talked to you about our resilience and our response to the challenging markets we find ourselves into today. We've also talked about the success of our strategy in delivering our breadth of end market exposure, which is driving revenue resilience and our early and decisive actions on cost. So these steps have really protected the business. They've insured delivery, provided strength in our balance sheet and helped us win work even in these most challenging of times. We've highlighted the strength of our strategic position and how our extensive track record and capability set differentiates us in delivering energy transition solutions. And finally, we've shared our thoughts on the future pivoting towards growth in renewables and built environment and leading the pack on ESG. We have built resilience into the business by design and this is allowing us to move forward with confidence in an uncertain world. We'll now take questions. Thank you.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session with Robin Watson, Chief Executive; and David Kemp, Chief Financial Officer. [Operator Instructions] Over to you now, Robin.
Robin Watson: Yes. Thank you and good morning everyone and thanks for joining the Q&A call. I think it's worth -- and I know we just went through the presentation just reiterating a couple of the broader themes from the presentation just to set some context before launching into Q&A. So our first half performance, we feel really demonstrates the successful execution of our strategy and the benefits of the business model across three broad fronts: firstly, the market exposure we have, which has driven revenue resilience; secondly, the importance of the asset-light model and the actions we've taken to protect margins and reduce debt; and thirdly, the leadership position that we've attained in regard to ESG matters. The way we've repositioned the business over the last strategic cycle means, we've already not just got the capability, but also the track record of delivery to benefit from opportunities to engineer the solutions to achieve lower carbon energy systems and sustainable infrastructure. And it is worth just highlighting in bullet fashion that track record. It's active delivery across over 601 projects. It's a decade plus of delivery in solar projects. It's technical adviser on something like 150 carbon capture and storage projects. It's 120 licensed hydrogen units over the past six decades, as well as our legacy in the built environment going back 40 years. We feel that listing really does differentiate us from our more traditional peer set quite significantly and it's why we're excited for the opportunities that the increasing pace of energy transition presents and it's why we have been repositioning the business over the past five years around this. So our strategy and our business model underpin our ability to continue to win work and protect margin in the short-term through the remainder of 2020. And it's why we can talk to you with confidence about delivering medium-term growth and increasing the proportion of revenue derived from renewables alternative energies and the built environment through this strategic cycle. So hopefully that framing and reiteration is somewhat helpful. So we'll now just open the line up to questions as per the instruction please.
Operator: Thank you. Our first question is coming from the line of Amy Wong from UBS. Please Amy asks your question. The line is now open.
Amy Wong: Hi. Good morning. Hope you are well. I have a couple of questions please. The first one is a bit kind of bigger picture on when you talk about your renewables energy business, could you just talk us through how you think about the scope of work that's available to the energy services supply chain? And why Wood Group has chosen to kind of the market that it's addressing? Like why it's the best part to address. Or would you actually consider expanding the scope of services that you can provide to this end market? So that's my first question.
Robin Watson: Okay. Amy from a service perspective, I think what we've been quite clear on is focusing on our project capability, our consultancy capability and our operational capability. So narrowing that down and in the creation of TCS, we've also got a very high-scale and higher-margin part of our business, which has been very resilient in the first half as you can see from the numbers. In terms of renewables, I think the attractive thing for us is the fact that there is a good legacy there from what was an AFW footprint. So we've got a strong track record in solar in particular. And then from a Wood Group footprint, we've had a wind legacy for a number of years as you know. And that goes from EPC around some work right through to very high end technically advanced consultancy work. I think our broader renewables, however, to look at alternative energies in the form of the hydrogen carbon capture and storage all in the space of kind of getting to net zero footprint. So, I think from our perspective, we see it as an attractive market because it's got good growth potential. And if you look at the first half of the year, it's part of our business, actually doubled in size despite COVID and the challenges of a global pandemic as well as a broader playlist that we feel actually fits very well with our great consultancy reputation. We've actually got -- we've built that consultancy reputation to hydrogen units became project delivery opportunities for us and that's a really good balance across our portfolio. So, that's why we like the sector. We see it as a high-growth sector with good potential. That's why we like our track record positions us well in it and differentiates us and from a service perspective which is narrow the bandwidth and been very clear on the type of projects that we will and won't do the type of operational services that we can provide. And obviously, the consultancy part of our businesses are really exciting -- a new development over the last 12 months as we put TCS together.
Amy Wong: Just a follow-up on that point. So, with the capabilities that you have in-house at the moment, does that enable you to potentially kind of expand and address more areas in those three spaces like solar, wind, and hydrogen, or are you more kind of limited to what you can do and you just kind of repeat doing the same thing, but doing it better and doing -- trying to get more market share there?
Robin Watson: I think it's both Amy. We're very clear on revenue synergies. So, the kind of piece of doing more is a really good hybrid and blend of pulling together a wind capability. It can be anything from wider consultancy work that make the individual turbines and turbine sets more reliable and more efficient and generate more power that's obviously sellable right through to some of the wins work we've won in the U.S. this year so EPC lump sum projects. So, in effect, we can do onshore wind from an open field and create a development. So, I think the breadth and the revenue synergies are one of the big overlaps of it. I think also -- and we only need to look back five years, I mean solar now in certain parts of the world as a standalone commercial competition for what is traditional energy provision. So, we do feel once you kind of break that Rubicon and you no longer need subsidized funding to unlock some of these new and different technologies in alternative energy then the growth is significant because we do feel energy transition is here forever. The only discussion is what pace it goes at and how quickly these alternative energy sources and our net carbon -- net zero carbon alternatives accelerate the market growth book.
David Kemp: I think just to add Amy, it's David. You can really look at the breadth of services we provide and it's over the full lifecycle of our renewables project right from the initial concept helping financing development right way through as Robin said around EPC and even we do some operations work in terms of control and around wind farms as well. So, we have quite a broad range of services right across the lifecycle. Probably the only area we don't intend to get involved is obviously offshore installations which as you would expect we're asset-light. If we want to be asset-light that doesn't fit.
Amy Wong: All right, great. No, that's very helpful color. Thanks both.
Operator: Thank you. And your next question is coming now from the line of Vlad Sergievskii from Bank of America. Please go ahead Vlad, the line is open.
Robin Watson: Hi Vlad.
Vlad Sergievskii: Yes. Thank you. Good morning Robin and David. Thank you for taking my three questions. The first one on revenues. In terms of returning to growth, when do you think book-to-bill ratio could start approaching one-time again signaling a turnaround in revenues? The second one would be on cash flows. Given lower expected exceptionals in the second half and supportive working capital potentially, would it be fair to expect Wood to be free cash flow positive for the full year 2020? And lastly on renewables, how growing exposure to renewables is expected to impact your margin profile. The reason I'm asking here is that across the other sectors, renewables have already delivered a powerful revenue driver, but the effect on margins has been mixed. Thank you.
David Kemp: Let me start with that and Robin can add to that. I think in terms of revenue and returning to growth, as you know, we haven't given out any guidance for the full year of 2020. And so obviously, we've not given out guidance for 2021. But we've tried to give you a number of data points and one of those data points is that we've seen some stabilization of the market recently. And so what do we point to? If you look in effectively June our book-to-bill was one and so our backlog has stayed constant over the period. And if you look to the period before that, March, April, May, we've seen a reduction in backlog. So work was either being postponed or deferred into future years.  So we are seeing we think the early stages of the market stabilizing. And equally, what we've also seen in terms of the first half is a really excellent performance from the business outside of upstream oil and gas. And so if you look at that 65% of the revenue, it's actually been flat on first half 2019, which in the challenging environment that we face is an excellent performance. And obviously in upstream in the remaining 35% we've been impacted by the volatility in oil price. So we do point to, we think there's some stabilization in terms of backlog. But I think as we all know and it's the reason, we're doing this remotely, we are in the middle of a global pandemic and there is quite a considerable amount of uncertainty out there. And we flagged that there is still a risk of further work being deferred or postponed.  In terms of the cash flow, again, we're pleased with the reduction in net debt over $208 million since the end of the year. And we've also tried to give out guidance around what we think the full year impact will be around items such as provisions where we're seeing a very significant reduction compared to last year. Exceptionals, we booked the charge in the first half, that's largely driven by redundancy in reorg costs just over $40 million. And that -- we don't expect that to repeat in the second half in that we've been very quick to get through the actions. And so we've delivered $200 million in the first half so the cost of delivering that $200 million is largely in the first half as well. So we do see our free cash flow opening up. And the guidance we've given out for the full year, we do expect our net debt to reduce further in terms of the second half.  And then as we look beyond 2020, we do see those legacy items reducing further. And we try to give you a bit more color Vlad in the presentation. And we do see things such as the unwind of advances as not being a recurring feature of our business. I think we've been quite clear. We benefited from that in 2019 which was great. It was great that our teams secured effectively excess advances, but that wasn't sustainable and we expected an unwind of that in 2020 and that's happened. But we don't expect that every year.  In terms of your third question, in terms of margin profile. Again, we touched a bit on this in our trading update. Typically, we're not bidding significantly different margins in terms of renewables projects compared to other parts of our business. But it does depend on what type of activities. So if we look at our consultancy margins are they dramatically different from any other sector margins? No. If we look at our EPC margins again, are they significantly different in terms of bidding margins compared to other industrial EPC projects? No. So there's not a -- we're not seeing that structural difference just now. As ever the key for us to keeping our margins up is around our differentiation.  And again, we've highlighted some of the differentiation that we've got. It really is in our track record of delivery. We're not talking about stuff we could do. We've got long track records in delivering renewables and alternative energy projects. So that's a bit of a long answer, but hopefully it covers your three questions, Vlad. 
Vlad Sergievskii: It's very helpful. Thank you very much.
Operator:   Thank you. And our next question is coming now from the line of Mark Wilson from Jefferies. Please Mark, ask your question.
Mark Wilson : Hi, good morning. A few points from me. Good morning, yes. Just to check if there is any expectation of disposals in the second half of the year and if you can comment on the Ethos situation at the moment? And secondly, David it follows on some comments on short-cycle works out there in the market. It looks like you'd have to add about $800 million new work in the second year to get to an $8 billion level that consensus seems to be around. Is that a realistic level, do you think given that's what you added last year? And then lastly you just mentioned lower unwind of advances in future years. Is that because contracts are different, or you just expect to have much less lump sum EPC work in the future? Thank you.
David Kemp :   Okay. Let me work my way through those. In terms of the disposals again to be clear, we're not in any process around disposing of Ethos. We previously flagged, we were pretty mature on a turbine JV in terms of our disposal process and that has been paused because of COVID. And so that is unchanged it is still paused. And again as we look forward there's a reasonable chance of it proceeding, but there's also a reasonable chance of it not. It is in that pause phase. In terms of other disposals as you work your way through the accounts you'll see that we're selling a trading business in Kazakhstan, but it's very, very modest. So that's the only two areas of disposal activity that's ongoing just now. In terms of the new work and around revenue it's probably worthwhile for me just looking at taking you through the overall picture again. So we delivered $4.1 billion of revenue in the first half. Within our backlog we've got $3.1 billion of effectively a revenue -- backlog attached to 2020 so giving you the $7.2 billion. In June of last year, we had effectively 90% revenue coverage at this point. And that would be a sort of normal level for us at the end of June. However as we all know this year has been anything but normal. And we do see a risk to both things slipping out of backlog. We've seen postponements and deferments more postponements and deferments and cancellations. And that risk still exists and that uncertainty still exists. And that at the heart is why we haven't given out revenue guidance for 2020. But hopefully what we have given you is a number of the data points that set the range for that revenue. In terms of advances, if we look forward we don't expect significant movements in the advances balance in future years. We flagged -- we had a really great outcome in 2019 and we expected an unwind of that 2020. And that was hopefully well flagged to everybody. What we've also done is over the period 2017, 2018, 2019 we've actually reshaped our portfolio in terms of the type of work that we want to pursue. And that's largely around the risk-reward balance. Again if we look forward we don't see another fundamental reshaping of that risk-reward balance in terms of the proportion of lump sum work that we do going forward. So all things being equal, you would expect advances to be being replaced with new work as we look towards next year. Again, it's worthwhile reiterating and I know I've said this a number of times part of that reshaping has been very clear around expectations around our lump sum work that advances our future. Cash flow is very important to us. And last year we were really successful in driving that. And it's a part of every discussion we have when we're bidding on lump sum work. So hopefully answers your question. Sorry Rob.
Robin Watson: I was just going to add a couple of things because I think there's a few questions just around backlog. And if it helps you David I'll give color on it. We continue to win work. We won $3.3 billion worth of work in the first half of the year which we're very pleased about. And for 65% of our markets just to reiterate David's point it's been pretty flat actually. The impact has been very limited obviously with a significant impact in our upstream oil and gas market as what we've experienced first half. To put some broad context if we kind of top and tail it with an opportunity pipeline, that has remained actually quite resilient at the $50 billion to $55 billion level. And that's broadly our kind of rolling opportunity pipeline unfactored. I think just to again emphasize a point that David made the go get and when question is the one that just gives us a degree of uncertainty. However, we are experiencing good win rates across our business units. So there's no market share challenge that we are experiencing whatsoever even in upstream oil and gas. We've got good win rates across a 3 BUs and we feel good about that. All that being said there's just a broad range of potential outcomes as that big opportunity pipeline manifests itself in terms of ITTs and bidding opportunities. And we're just seeing some decisions being kicked to the right. Our coverage for 2020 remains robust to David's point 90% revenue coverage. And the broader opportunity pipeline remains a very attractive one and our win rate is solid. Just the range second half of this year and into '21 with COVID-19 very much active across our world it just gives us a broad range of potential outcomes.
Mark Wilson: Got it. Very good answers gents and very well done in a very tough quarter. Great performance. Thank you.
Robin Watson: Thanks Mark.
Operator: Thank you. The next question is coming from the line of Kerouredan from RBS -- RBC. Please ask your question, Kero.
Erwan Kerouredan: Hi. Thanks for taking my question. Two from me. First on the EBITDA margin guidance, if you had to retain one factor that could drive your guidance before year to the upside or to the downside what would it be? And then, I guess the second question is on renewables and a follow-up on the various question on this Q&A session. But, can you just clarify your ambitions outside of America across the end markets that you've mentioned: wind solar and CCUS and hydrogen? Thank you.
David Kemp: Why don't I take the margin and Robin can address your renewables question. In terms of the EBITDA margin, we've been clear around what our objective is. Our objective is to try to keep our margins flat with 2019, which we think in this environment would be an excellent performance. In the first half, we actually grew our margin in two of our three business units, to -- again, we point to that being excellent performance in those two business units. And then the third business unit, we had some challenges around execution. But actually in the two business units where we've driven improved margin, what's been the main aspects of that? Firstly, great execution. We've executed projects well. And so as we look forward, what drives good margin? It is good execution. And secondly, what's the delivery of overhead cost savings and maintaining good utilization to that cost base. And again, if you look at the impact in TCS, TCS was earlier in terms of addressing costs, because we effectively had flagged back in November of 2019 and bringing together -- in bringing together TCS from STS and E&I, we saw some cost synergies. So, they had an earlier start in terms of that cost work than EAAA did. EAAA was more of a reaction to the environment we faced in March. And so, you see the impact on margin there. EAAA has gone up slightly, but TCS has gone up over 1%, which is great in this environment. So again, if you look -- if you map forward what's going to deliver the 8.6% objective, it is going to be good execution, it's going to be maintaining good utilization across our business, and it is around benefiting from the overhead savings that we've already delivered. And so the overhead savings, given that they have been delivered, allows us to have confidence around driving improved second half margin.
Robin Watson: On the renewables, Kerouredan, we've got -- yeah, we're very active on sector impact teams. So we do view our end markets with a global perspective. And it was one of the reasons that we created the TCS business to have a global consultancy and broaden that if you like worldwide influence of our consultancy capability. What we've also had in the downstream world is a very good model of process consultancy definition work given your pull-through work from a project management/project delivery perspective. So, we do have some models there that we are actively looking at how we globalize with more impact across these growth markets. As regard to renewables, I would probably broaden that into alternative energy and there's two ends of our offering. One is at the consultancy end, which is already global. So the consultancy capability we have across wind onshore and offshore, across hydrogen, CCS and to a certain extent solar, the consultancy aspect of it is already global. So that's already unlocked from a global perspective. So, it's a lower volume if you like higher-margin proposition. And that's been a really a key part of unlocking TCS and it's a net footprint as a business unit. In terms of the project delivery and I think maybe where your question was coming from, Kerouredan that is confined to the U.S. as we speak just now. So we're quite thoughtful on how do we globally unlock that with execution confidence in different parts of the world. So what we'd like to ultimately be capable of this having full life cycle across the globe. We're thoughtful on the EPC delivery. And if we are going to unlock that globally, we'll almost certainly maybe look at our organizational structure to get that delivery beyond North America. So that's something that we're actively looking at just now internally as to the capacity of that market, the kind of hotspots if you like that we've prioritized in terms of potential growth opportunities, and then look at the nature and balance of the customer set confidence in delivering existing capability footprint and how we evolve that from a global perspective. So I think just now, I would look at renewables. I would broaden it looking at it as an alternative energy proposition from a consultancy perspective be it wind, solar, hydrogen, carbon capture and storage. The range of things we talked about today that already is global and there has been a variety of revenue synergies that we've achieved on the back of it. In terms of the project delivery to your point yes, that is confined to the U.S., North America just now. But we are thoughtful about, how we impact what will be a large growing global market, again with the balance of risk appetite, the risk-reward to take on et cetera. So that will be -- all play a part of our consideration, as they unlock in the life cycle.
Erwan Kerouredan: Thank you so much for your updates on those questions. Thank you.
Robin Watson: Thank you.
Operator: Thank you. The next question is coming from the line of David Farrell from Credit Suisse. Please ask your question, David.
Robin Watson: Good morning.
David Farrell: Hi. Good morning, Robin. Good morning, David. I just want to delve a little bit more into carbon capture and hydrogen. So, just on the carbon capture side of things, do you plan to remain technology-agnostic? And do you think your expertise, lies more in post-combustion capture rather than pre-combustion? And then, just on the hydrogen side of things. In terms of the steam methane reforming technology you have, which I think came from Foster Wheeler can you kind of position that against the competition out there, why that product might be perceived as better? And where you think you stand in terms of market share?
Robin Watson: Yeah. Well the -- so from a carbon capture and storage perspective, David, we've got, I'd say both of these areas, actually carbon capture and storage and hydrogen both come from the Foster Wheeler, heritage by and large. So that's a key component part. But as you know, the global capability and where Foster Wheeler positions themselves with some real operational credibility was around unlocking scalable, commercial solutions to downstream with crackers and flame -- and fired heaters. And really that kind of, if you like technical application has been something that's really at the core of their DNA. From a carbon capture and storage perspective, the challenge with carbon capture and storage as we all understand is doing it on a basis that's commercially viable and scalable on an industrial basis, that it becomes a reasonable way of reducing the carbon footprint. What do we know? We know for example, there's a real political will in the U.K. to be a world leader in being able to unlock that, on a scalable industrial basis, that's commercially viable. We certainly get plenty of reservoir space, in the form of the North Sea. So the storage side of it is not so much, of an issue. From our perspective, we are very broad-based in terms of what we offer in the carbon and capture -- carbon capture and storage space. We've done a lot of conceptual studies, a lot of front-end engineering studies. And I think it is something that can only be sold, as a proposition with, companies like us with the technical, wherewithal and know-how to actually industrialize and scale up, on a commercial basis, the technical proposition. I do think it does require intervention. And some support funding, from government in one of its shapes or guises, because I do feel it's an inevitable part of the net zero journey. And it almost certainly requires some investment from traditional, oil and gas players. And really that is the way it's played out, in terms of how that market will unlock itself. So from our perspective, I think we can provide a technical component to that jigsaw. And we feel that there are -- that our progress as you can make from a technical perspective. And from a logistical perspective, that will make carbon capture and storage, an attractive proposition particularly as, the net zero agenda becomes mission-critical, if it's not already. As regards to the hydrogen footprint that we have, I mean we're quite thoughtful across blue green and grey hydrogen. So that would be the first thing I would say. It's not one -- it's not an immediate jump that the whole world goes to electrolysis. And we take it from there. We don't think that's a feasible proposition. So there's a balance with -- in doing what we do traditionally, which has been in the units that are designed and licensed by us. There's a very long history within Foster Wheeler of doing this. And doing this successfully and be it from the largest train unit. And looking at some of the more advanced stuff, we've been doing actually in the U.K., just this year. I think we have a view that, it will be a blend of all types of hydrogen. It will be viewed as a more attractive alternative fuel source, than pure fossil fuels. So we do think that's the way energy transition will play through, from a hydrogen perspective. And I think from our perspective, we provide again the technical part of that jigsaw. That actually for blue hydrogen it's perfectly economically viable and perfectly commercially feasible. So again, we feel that that broad alternative energy agenda is inevitably something that's got tremendous growth potential for us. And we feel that, we're very well positioned to unlock it. And probably hydrogen is a bit more advanced, albeit not necessarily the green hydrogen, again, the challenge of making it industrial scale and commercially viable remains there as it does with carbon capture and storage. But there's no doubt at all we're in the same discussions with at least two technology unlockers as we were having a bit solar a decade ago. It's never commercially viable it needs subsidies it needs to be supported. And then, we've seen in that decade a very rapid development of solar such that it's perfectly economically viable as a stand-alone basis. It's free of subsidy in various parts of the world. The new providers are very feasible technical alternative to traditional fuel sources. We feel carbon capture and storage and hydrogen to varying degrees with different challenges on the -- both in that space.
David Farrell: And just kind of staying on a kind of similar theme. Interested to see kind of your position in Sustainalytics. Obviously, when you look at the emissions of the company 68% come from the Martinez gas power plant in California. Are there any plans to divest that asset?
Robin Watson: No, I mean we've looked at our current footprint. And as you say those ate free analysis we can do in terms of the impact that we have will be on a -- what we see is firstly we took an absolute journey. So, it's an absolute reduction in our carbon footprint rather than a net zero kind of pay your way out of it. So, we felt that that was the right journey to take, be science-based scope reduction in terms of our Scope one and two. And yes, we've certainly got individual sites that are more of a challenge and give us more of a hydrocarbon footprint than we would ideally like, so we remain very diligent. We will certainly meet our target of 40% production over the 10-year period. And we're very thoughtful in the sites that provide the largest component parts of our footprint. And you specifically highlighted one individual site.
David Kemp: I think David that's probably the broader point that we tried to highlight around ESG. Again, we think our -- the work we've been doing with our strategy and some of the work we've set out in terms of targets and whether it's around carbon emissions, whether it's around D&I, whether it's around modern slavery positions us really well from an ESG agenda. And we've highlighted a couple of the rating agencies. Sustainalytics puts us in really in the top-tier around the whole energy sector. And we have that leadership -- AA leadership position as well with MSCI. And so, from an ESG perspective in terms of it being a differentiator against the wider peer set, we think it is. And that's -- it's embedded in our strategy. It's been embedded in our strategy for a number of years and it will continue to be.
David Farrell: Okay. Thank you, very much.
Robin Watson: I think just on to close the ESG point around the broader ESG point. We're thoughtful in our own green footprint to David's question just there. And we're also thoughtful on what we call our green handprint helping our customers. And that's why we indicated in our presentation a good couple of examples where we're using alternative energy sources to provide power and doing that for conventional upstream oil and gas customers doing a carbon-neutral, a net zero decommissioning of the Jacky for EnQuest within the -- for the North Sea. So, we're quite thoughtful in both the green footprint and what we've notionally called internally the green handprint. The effect we can have in helping our customers meet their either net zero or fundamental reduction in carbon footprint. Thanks David.
David Farrell: Thank you.
Operator: Thank you. Our next question is coming from the line of James Thompson from JPMorgan. Please James, go ahead. Your line is now open.
James Thompson: Thanks. Good morning. Firstly, thanks for the disclosure in the presentation on the cash flows, I think it was very helpful. A question really around the chart in your slide 26 and thinking about the strategic cycle to 2023 and you're pivoting to growth. I really just wanted to see if we can get any color understanding the kind of underlying assumptions there. So, I guess firstly in terms of the kind of 2023 ambition for the renewables business, clearly you've been able to double revenues in that business this year which is clearly a good result. I mean should we expect a similar sort of clip in terms of growth rates to fit into this strategic cycle to 2023 and the ambition to getting that back to get that up to $1 billion business? And how much is that dependent on kind of regime change in the U.S. given clearly, what Biden and Democrats are saying about renewable energy sources? And then secondly, thinking about the growth outlook for the built environment business. We think about that I suppose as you kind of coined it before a GDP-plus type business. But I wondered if that was set to change with the potential for this massive U.S. infrastructure bill coming through. Can that sort of supercharge that? And is that driving the growth you see in that business? And could it be a sort of 10% double-digit type top line growth business over the next three or four years? Thanks.
Robin Watson: I think James – we want then to jump onto the numbers. We recognize the emphasis of the question. So, if you can forgive me just to answer maybe the emphasis of the question around it. And it's Robin speaking, rather than David. I mean, we do see the renewables and alternative energy market is a good medium-term growth market. So I think everything, we've said to just qualify expectations to second half of 2020 as there's a wide range of the potential outcomes in the second half of 2020, just because we're still in the middle of a global pandemic. We kind of – to kind of understate that in any way 21 million cases of COVID 0.25 million deaths and 20% on GDP in most of the developed world is a significant impact. So, I'd just qualify around that. Do we however in the essence of your question see renewables and alternative energies a really attractive marketplace for us in the medium term? Is it an enduring marketplace for us to work in? I think absolutely. We've seen this year even in the U.S. – and particularly in the U.S. we've seen a doubling of our renewables business. So I think there is some – there's room for confidence and optimism that that will be an enduring shift from an energy transition perspective. And any other modeling, we've done in energy transition, renewable alternative energies and the drive to net zero and the kind of unstoppable momentum to a cleaner planet will actually give good legs and good investment opportunities in that particular sector. And just, I'd refer probably to my earlier commentary has been very thoughtful on how we impact that from a global perspective. I think in terms of the built environment business, we have tended to see GDP-plus type growth. And I think there's a kind of yin and a yang to it in terms of there is a stimulus program a big stimulus program in U.S. infrastructure then that is a – would be a very encouraging market unlock for us. I think it's maybe a bit less than certain. Firstly, there will be a stimulus to kind of a massive degree, because I think there still is a volatility. And I think in the U.S., we're seeing a lot of pockets of a second spike in COVID cases. So again, I would probably be a bit reflective in the second half of the year, because I think we will see local spikes, second wave, third wave spikes across the U.S. is our kind of view of the world there, and that will cause a degree of disruption. We're quite sure, so we're prepared for that. Balance that with the built environment and stimulus. We've seen it in the U.K., we've seen it across Europe. Infrastructure, modernizing infrastructure and investing and build, build, build jobs, jobs, jobs is a better rhetoric that's kind of across the developed world. And we do anticipate there will be some stimulus in the developed economies, including the U.S. in particular to unlock that infrastructure market. As regards to the numbers against it James, we'll be very reluctant to do that. Our base case as we see GDP-plus type growth, if there is a stimulus large package in the U.S. in a very much a heartland of our built environment business, we'll of course, I think be well positioned to benefit from that. But I think there's a degree of pandemic uncertainty, political uncertainty and some challenges for us to get through in 2020 before we reach that point of kind of financing, how we anticipate it. But we do anticipate it being resilient and we do anticipate that growing as a base case.
David Kemp: Let me just add something to that James. It's probably reflecting what we're trying to say. I guess, what we're trying to point out is a direction of travel and it's worthwhile just recapping what that direction of travel has been and why we're on this journey. So 2014, we're around 90% upstream oil and gas. Today, we're 35% upstream oil and gas. And what we're flagging is, we expect that journey to continue. So we expect growth in renewables and this year, we've doubled the size of our renewables business, which is great. We expect the growth in renewables alternative energy and the built environment to continue to grow as a proportion of our business. I think you then get into, well, actually why was that important back in 2014? Why is it important now? Actually, we were clear that the volatility we faced in our business in 2015 and 2016 was too high for us. We wanted to actually broaden our business away from upstream oil and gas and away from being so cyclical -- and so cyclical around upstream oil and gas. And I think you're starting to see the demonstration of that in our results. It's worthwhile just reiterating in the 65% of our business the revenues were broadly flat versus 2019 in the middle of a global pandemic. In upstream oil and gas, we've had the almost the typical reaction of upstream oil and gas in a lower-price environment where have significant volatility in terms of price. And so we've seen significant falls in U.S. shale. We've had some revenue falls in Middle East around our upstream oil and gas business. But the underlying reason was to take out volatility in our business that we think the first half results actually demonstrate that and why we've been on this journey and I guess, why that journey will continue.
James Thompson: Thanks. That's very clear. And David just one follow-up please on an earlier comment. You said that when you think about the EBITDA bridge none of that was due to changing pricing in bidding in the first half. Is there any reason to think that that will change at all in the second half, or do you expect to continue to bid similar, sort of, pricing and margins in the second half to the first half?
David Kemp: Yes. There's obviously a generalization in this. We're quite a broad business and we cover a range of markets. Generally pricing wasn't a significant issue for us in the first half. And that would be our expectation that that would continue in the second half and particularly, around upstream oil and gas, but that was the difference to 2015 and 2016.
James Thompson: Great. Thank you for color.
Operator: Thank you. And your next and final question is coming from the line of Amy Sergeant from Morgan Stanley. Please, Amy go ahead.
Robin Watson: Hi, Amy
Amy Sergeant: Hi, there. Thank you for taking my questions and congratulations on delivering these results in quite a challenging environment to say the least. I'll keep it fairly brief. So just to come back to some comments earlier, particularly, around the renewable margins. I think a lot of your competitors are kind of also trying to move into this space and expand. And so when you think about, sort of, the margins going forward are you factoring in that these could start based on pressure, or do you think that your kind of track record and differentiation can allow you to, sort of, maintain this higher pricing in that space? Thank you. 
Robin Watson: I think that Amy, I think, there's a degree of barriers to entry. We're well experienced. As you say some of what would be our conventional peer, competitors talk about energy transition and certainly they have done that. None of them have been involved in over 600 wind projects. None of them have a decade of delivery in solar projects. You know the carbon capture and storage footprint that we've had and the hydrogen footprint is one that's 60 years in the making. So I do feel in that alternative energy space not only are we well-positioned in these marketplaces we've got the customer relationships. We've got the reputation. We know what we're doing around the delivery model across the life cycle. So I do think these are significant barriers to entry to be quite candid. And there's world of difference between talking about energy transition and implementing it strategically. And it's why – I mean it's taken us five years of quite a pivot in terms of firstly addressing the upstream oil and gas volatility to David's point that challenged our conventional OFS peer group and sector. And been able then to do the AFW acquisition, which helped accelerate access to some of these broader markets. And then bring together the consultancy capability in wind for example that we had already in-house with an EPC capability and one that AFW has been partly developing that we've taken on. So I do feel there's significant barriers to entry. The notion that an OFS company can just talk about wind transition – no energy transition and then just appear in all these marketplaces would be the wrong one, would be our view of it. And it's been a long time in being established through a variety of heritage organizations that we've got the footprint that we have. All that being said, we're never complacent. We know the win rates that we want to get and need to get. If our win rate is too high we're not commercially astute enough is always our view of the world. And if the win rate is too low, we're not priced well in the marketplace. I am encouraged by what our win rate through the first half of 2020 has looked like right across our three business units and we see plenty of opportunity out there. So I do think there's something of a kind of theme of energy transition but it's one that we've been actively delivering against for five years now for three years as Wood. And the heritage is decade-long when you go down to the constituent parts of what makes up Wood today and that's quite a deliberate piece of positioning for us.
Amy Sergeant: Great. Thanks very much.
Operator: Thank you. There are no further questions. Please continue.
Robin Watson: Okay. Good. Thank you for calling in folks. I hope that was a helpful Q&A. And with feedback in during the presentation – but definitely unfortunately, obviously, we've not been able to get in the room together this year, so any feedback in the presentation would be helpful in terms of – maybe it's better than listening to us in the room. I don’t know. But feedback always welcome.
David Kemp: Thank you, guys.
Operator: Thank you. That does conclude the conference for today. Thank you all for participating. You may now disconnect.